Executives: Frank Holmes - Chief Executive Officer and Chief Investment Officer Susan McGee - President and General Counsel Lisa Callicotte - Chief Financial Officer
Operator: Good morning. Thank you for joining us today for our webcast announcing U.S. Global Investors’ Results for the Third Quarter of Fiscal 2016. I’m Lisa Aston. If you have any questions during the webcast, you can enter them in the questions area of the control panel sidebar, which is normally to the right of your screen. Also, you may download a PDF of today’s slides by clicking on the red handout button. The presenters for today’s program are Frank Holmes, U.S. Global Investors’ CEO and Chief Investment Officer; Susan McGee, President and General Counsel; and Lisa Callicotte, Chief Financial Officer. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during this webcast that don’t pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filings for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today and U.S. Global Investors accept no obligation to update them in the future. Now let’s go to Frank Holmes, CEO and CIO for an overview of the period. Frank?
Frank Holmes: Thank you Lisa, and thank you, Susan McGee and Lisa Callicotte, it has been a lot of work preparing for this and especially as we’ve gone through a big transition. So let me briefly start off in Slide 4 of our U.S. Global Investors for those who are new shareholders. U.S. Global Investors is an entrepreneurial investment manager for the past experience in global markets and specialized sectors, in particular, in the resource sector and those countries that are related directly and indirectly to that commodity cycle that we’ve witnessed ups and downs with. The company was founded originally as an investment club back in 1968 and has a longstanding history of global investing and launching the first of its kind no-load gold fund. U.S. Global Investors is well known for its expertise in gold and precious metals, not resources. And we’ll talk a bit more about our investment blog has over 40,000 readers in a 170 or 180 countries. I know when you add in the other social media platforms is robust and people that follow and what we – our thoughts are on resources around the world. We like to look like to look at GROW, Slide #5, and some of the strengths as a go-to stock for exposure to emerging markets and resources. We’re debt free, strong balance sheet with a reflexive cost structure, monthly dividends and return on equity discipline, which has been a big challenge. I believe that we should have turned this corner and bottomed. And you see our stock has had a massive surge relative to the rebound in many of the commodities and emerging markets in the first quarter. Top institutional holders of growth, I’d like to thank them all for their loyalty during this painstaking down drop of experience since the peak of 2011, when gold hit $1,900, the FIM Group, TheRoyceFunds, Vanguard, and Sentry Funds and in particular we have a new investor, The Newberg Family Trust, which is now over 5%. Thank them for their interest in the conference, in the cycle and this is a proxy for this resource asset class. Dividends on Page #7, paid monthly, consistently paid for eight years. Current yield is a modest 1.73% and dividends are approved through September, and the Board meeting always reassess. Our cash positions, our cash flow and our strategy for turning this company as they call like to call it P-to-P path of profit. Page #8, I’d like to turn over to Susan McGee to talk about the share repurchase program, that’s in motion.
Susan McGee: Our Board has approved a repurchase program of up to $2.75 million for the calendar year 2016. During our third fiscal quarter 2016, the company repurchased shares using $26,000. We’re using an algorithm to buyback our shares on down day and it is in accordance – buyback plan is in accordance with all the rules and regulations, and we do disclose that the program can be suspended or discontinued at any time. And also as you can see by regulatory filings, Frank Holmes is also purchasing shares of GROW in the market, pursuant to a rule 10b-18 plan.
Frank Holmes: If you have any questions later on, we can always answer regarding this particular plan. And now going onto Slide #9, the balance sheet is a reflection that Lisa Callicotte, our CFO can comment during further questions, but our overall seemed to be stabilizing here, and we took a lot of our cash in September 2013 and we moved it over to short-term ultra short bond to get a higher yield. And the next visual is showing you the earnings per quarterly and several corporate events that taken place as we restructured with the ramp up of all the regulations that it hit all financial institutions and many companies have repositioned what they’re doing from major billion-dollar banks that come from taking deposits, becoming wealth management – I was in Chicago yesterday, hearing of these transitions. So what we’ve done is with zero interest rate, money funds and costing a lot to reposition and it cost you a lot of money just to go through transitions, close down money market funds. And we try to show that those costs exposure to have a greater downdraft during those quarters. And the last one was the transition to Atlantic, which Susan McGee will comment a little bit more in greater detail later in this presentation this morning. The quarterly assets under management, as you can see they are pretty well stable. What was really challenging, on Slide #11 is showing you that there was a big downdraft this year in the first quarter, but in particular January when we had all equity funds in a panic mode sell off, and it impacted emerging markets domestic and resources. Since then we’ve had positive appreciation in our resource and gold assets and relatively attractive fund performance. And we’ve had positive flows from the negative, but net-net. It was a modest positive flow, but we did have a turn, which showed up in February and March, which is interesting because I mentioned that in that first quarter, when gold was taking off, that the ETF equities had no flows. There was no net flows going into them, but there was going into the bullion ETF, every billion dollars going into the GLB billion ETF, spikes the price of gold around $30. It wasn’t until later in April that you started seeing fund flows really coming into that global space – gold equity space. The asset breakdown, it’s always just useful to look at, we have a very loyal group of shareholders, a lot of that comes from our branding, on our weekly investment blog and the ability for investors to get a pulse of what factors are driving, the different assets that they may have investment with us. The short-term fixed income to global equities or domestic equities, the weekly SWOT analysis is a simple, yes, cut in size in comprehensive way to communicate with shareholders. So we have a loyal following in that capacity. Our approach to billing performance and managing costs is continuous and was a streamlining for stability and growth, build capability and realized potential, it just seems with that – with all regulatory world, it just takes longer, it’s the learning process as we streamline and go through it. In this past quarter, there is still some, called legacy costs that were impacted from previous big write-downs and laying off cost and HR costs et cetera. But I think this quarter there in now. It’s really a true reflection of how we’re running the business. And the next visual, as of 14 is basically showing you, the streamline has taken place from senior management to all our workers as assets of decline and so has number of workers and actually divested or reposition the assets in relationships, just have left some poise in that needs. And we’ve been relied at outside sources for compliance. These other facilities like U.S. Bancorp, Susan McGee can comment one. They have a very rich and deep compliance department, in addition to Atlantic and association with SEI. So it’s basically a quarterbacking the relationships, making sure we have cutting edge and best practices. And focus is now is on our core competencies, money management, marketing and sales. So to partner with experts, administration, operations, is not just compliance et cetera. It allows us to really focus on the money management aspects. Now I’d like to turn it over to Susan McGee on the partnership at Atlantic Fund Services.
Susan McGee: We completed an outsourcing and first phase of a transition to Atlantic Fund Services in December. We have a new slate of trustees for U.S. Global Investors Fund. These are the trustees that are also overseeing on Series Trust, sponsored by Atlantic Fund Services. Atlantic is now overseeing and have taken all the responsibility of the corporate governance of the funds. The second phase will involve transitioning our transfer agency over to Atlantic. And then the third phase will be the transition of fund accounting and fund administration to Atlantic. We believe that moving over to a larger complex, but we will have the funds realize and operational economy at scale that were not available when we before running to funds of scale. We do believe that this will have a positive impact those on U.S. Global Investors, Inc. future income as well as reducing cost for our fund shareholders. If we do think it is a win-win solution. And as Frank mentioned, we are going to be focusing now on investment management and marketing and sales to grow the company. The Atlantic is based in Portland, Maine. They provide a full range of services to various investment vehicles.
Frank Holmes: So I think that complete outline by an Atlantic Fund Services on Slide #17. We are interested and on Slide #18 is just an overview of our mutual funds with Gold and Precious Metals Fund, Natural Resources, China Region, Emerging Europe, Domestic Equities, which we have two in short-term bonds. In particular is our Near-Term Tax Free, which has – had a spectacular 21-year run of positive performance and our latest – the global airlines and that’s our stepping stone into the world of the ETFs. Now building for future growth, it’s just really difficult over resources when you have to go through these restructuring. Restructuring is not only cost as you saw, would happens in the financials and – as previously shown on those quarters, but it’s also time consuming and a lot of human talent has to be consumed with this restructuring.. And in – so now we can focus get back on this game plan with growth and we have 65% ownership with Galileo. They’ve also come to a process of asset declining and the resource sector. They’ve stabilized and look forward to building out their opportunities in Canada. And then earnings, valuable brand awareness, so we continue with publishing, at the same time going around around speaking at conferences, I’ll comment a little later. And then we continue to develop innovative and dynamic ETF products to expand product line or revenue streams. And we should be filing for our gold equity ETFs within the next immediate 24 hours, which is exciting to be ready to hit the fall with, and I’ll talk a bit more about just the factor model that went to the airlines model as the same due diligence and resilience and efforts we took in for this gold ETF to make sure that it really is – differentiates from other funds that are out there. And as a very – I like to call it strong value proposition to investors who are moving to the direction of ETFs, so you can see in Slide #20, massive headwind for mutual funds. I mean, just the growth in ETF products and numbers and the next visual 21 is to really simply show you fund flows are leaving from mutual funds. It doesn’t matter if the mutual fund, like we can show we’ve outperformed these ETFs and the equity side for funds. People want to all trade ETFs for several reasons, and that’s where the direction is going. Now, we’re really happy that in the first year, we launched our JETS ETF, it’s an ongoing strategic relationship, which we show on page 22 with U.S. Bancorp Fund Services, ETF Series Solution. And I think what’s important is, this one-year anniversary is our first smart beta. And smart beta, it’s really just a rules-based investing. I’ve spoken at several conferences to RIAs and it’s interesting to hear questions on really what is smart beta? And smart beta is a set of factors and in that investment theory in finance, a factor as a common systematic driver of security returns. And I’m a believer in simple terms that money flows towards growth and safety. And there are times when people feel more confident, they’re looking for growth, and it’s not they’re looking for safety. And you can turnaround and look for factors that just give you a tilts towards those securities that are going to provide you with growth with – at a reasonable price GARP. And we can do back testing with all the data mining and intelligent software. It’s an expensive software and it takes eight hours at a time to run a series of analysis. And it takes about thousand hours to really dig deep to see what factors are resilient to rising markets, volume markets, takeovers, bankruptcies, and that’s what we did with the JETS. We went out and talk to all the airlines analysts, what are the factors they use, and then we went and that tested them. And then we turned around and used other factors to do our back testing. And this process was very, very helpful in learning even what factor will attract money into that industry faster than another factor, such as rule P/E ratios doesn’t attract money into this category as much as cash flow returns invested capital does. So you have substantially higher cash flow returns invested capital. Money flows into the transport sector. And I think that we’ve learned our leverage to expertise in our active money management to develop additional rules-based smart beat ETFs. And clearly, this is where the trend is, with even in the ETFs space is that, there has been substantially more money flowing into smart beta. Most of these indexes previously were only market cap. They were all equally weighted or they were based on the biggest market cap, got the biggest holding. And the smart beta comes along and says, you know, what, it maybe best to buy those stocks, which have the lowest debt to leverage ratio, have only a 60% payout, have a dividend policy for five years, and some other factors. And I can basically create a safe harbor of stocks. And I think that this trend will continue. So on Slide #23, you can see that JETS surpasses 60 million market assets and had about 54 million just recently, it does flow with the market. Markets up, it’s above the price. Markets are down, it’s slightly below just as remaining swing a little bit demonstrated by the daily average trading volume exceeding 54,000 shares over the past year, along with additional liquidity provided by both salable calls and puts. So because of the volatility of this type of asset class, it’s attractive to several investors that turnaround and buy it and then sell calls against to get additional income. JETS was nominated for best ETF ticker of the year by ETF.com. And I have enjoyed learning more about the significance of the ticker, and the next visual is showing the launching of JETS, and what a great experience, complete different marketing distribution, storytelling, everything is very, very different than the normal process of mutual funds, and media coverage of JETS over a 100 million views to earned media exposure, which we’ve really proud with what Holly has been able to do, and communications with the public and the shareholders. This sort of educational format regarding this particular ETF and it’s been well received as a go to product and probably because two million a day have to fly in America and they’d say it’s going to be a trillion dollar global industry soon. And it employs something like 8% of directly or indirectly of America. So it’s a significant employer with well-paid jobs. I’d like now to turn it over to the numbers, Lisa?
Lisa Callicotte: Thank you, Frank. Good morning. I’d like to summarize our results of operations for the quarter ended March 31, 2015. Beginning on Page 27, we recorded total operating revenues of $1.3 million for the quarter. This was a 4% decrease from the $1.4 million reported from the same quarter last year. The decrease is primarily due to changes in our administrative agreement with USGIF through the outsourcing of certain services to other service providers. It was somewhat offset by the addition of the ETF advisory fees related to our first ETF launched in April 2015. Moving onto Page 28, you can see that, though our revenue only decreased 4% in the period compared to the same period last year. Our operating percentage for the quarter decreased 27% or $690,000 to $1.9 million. The significant decrease was primarily due to our strategic changes including the outsourcing of certain services to other providers, and it accounts the following. Employee compensation and benefit decreased $383,000 or 30%, primarily as a result of a reduction in workforce. General and administrative expenses decreased $236,000 or 24% due to strategic cost cutting measures and platform fees decreased $60,000 or 36% as a result of the company no longer being responsible for paying platform fees for the USGIF equity fund after outsourcing to a third-party distributor in December 2015. On Page 29, you can see our operating loss for the quarter ended March 31, 2016 is $540,000 and our other income, which is income related to our investments was a $148,000 in the quarter. Net loss attributable to USGIF after taxes for the quarter is $350,000. This was an improvement over the same quarter of the previous year, which was net loss of $1 million. A 65% decrease in net loss was mainly due to our decrease in expenses, and as you can see on Page 30, net loss attributable to USGIF for the quarter ending March 31, 2015, as a loss of $0.02 per share versus a $0.07 per share for the same quarter March 31, 2015. Moving onto Page 31, you can see we still have strong balance sheet. We own our own building. We have cash and marketable securities of $20 million that combine to make a 76% of our total asset. And as you can see on Page 32, we still have no long-term debt. The company has a networking capital of $16.9 million and a current ratio of 16:1 With that, I’ll turn it over to Susan McGee.
Susan McGee: Thank you, Lisa. While the markets have been struggling with the global slowdown, our sales and marketing efforts have continue to focus on our long standing top from our Near-Term Tax-Free Fund or NEARX, and our newest product that we’ve mentioned the U.S. Global Jets ETF, which is the only Airline ETF on the market. As Frank mentioned earlier our JETS recently celebrated its 12 month anniversary and it has received extensive financial media coverage and interest from the investment community. The ETF was nominated for our best ETF ticker of the year by ETF.com. It has robust trading volume as we’ve mentioned and it’s using the rules-based dynamic index strategy. It does give investors a diversified exposure to Global Airline industry. We anticipate that we’ll be launching additional smart beta ETF products in 2016. That will leverage our expertise, investing in resources and also in other specialized sectors. We believe that performance based results are important to investors and we share with investors, but it’s actually easier to become professional NBA player than for a fund to deliver 21 consecutive years of positive performance. And we’re very proud that NEARX is one of only 39 equity and bond mutual fund, out of more than 31,000 funds that have delivered consecutive positive annual returns has 21 years. At the Near-Term Tax Free Fund, continues to provide investors a calming solution with its consistent positive performance, and they appreciate the monthly tax free income that the fund does provide. When investors compare NEARX against the S&P index, over the past 15 years, you can see that the fund’s history has really no drama. NEARX has earned the MorningStar 4-star rating for overall performance in the Municipal National Short-Term Funds Category. And the Gold and Precious Metals Fund has earned the 4-star rating in the equity precious metal funds category. And we’re pleased that two of our mutual funds hold the top of Lipper Leader rating. This rating is based on investor-centered criteria and on a scale of 1 to 5, Lipper Leader fund that rate as 5 are in the top 20% of their category. The Near Term Tax Free Fund and the the US Government Securities Ultra-Short Bond Fund, both rate a 5 for preservation. The company and our funds continue to receive an invariable amount of viral publicity going to media interviews, recommendations by very influential financial newsletter writers, and the sharing and syndication of our award-winning original content by third-party publishers. For example, our slideshow on the seven biggest airlines with featured by Business Insider, and it received over 50,000 views. And Frank Holmes commentary is often featured on prominent publications, including Forbes, Seeking Alpha, ValueWalk, Business Insider, and these sites have millions of monthly visitors. This coverage helps us leverage our brand by reaching millions of readers, viewers, and potential investors. We would like to call Frank Holmes, our globetrotter, because he along with others in our investment team, travel around the world to share our thought leadership. We interact frequently with loyal followers through Facebook, Twitter and LinkedIn and Instagram. Kitco News, the biggest gold website in the world with an audience of 10 million monthly visitors, features the Gold Game Film Show with Frank Holmes weekly gold market analysis. Kitco’s partnership with The Street has broadened the show’s exposure and viewership. Since we began airing the show in 2014, 101 video episodes of Gold Game Film have aired. U.S. Global Investors is known for timely and balanced market insights and thought leadership. We’ve earned a total of 69 STAR Awards from The Mutual Fund Education Alliance, which recognizes it’s excellent in investor eduction. So Investors can signup at usfunds.com. We encourage you to join over 30,000 subscribers who receive our award-winning Investor Alert and Advisor Alert eNewsletters, and the CEO blog, FrankTalk. And Frank, now I’d like to turn it back over to you to discuss what you’re seeing in the market today.
Frank Holmes: Thank you, Susan. Thank you, Lisa. So I will speak quickly, a lot of this material I’m going to – is on our website in the Investor Alter and I think it’s just important for you to go back and you can read the content that goes with these words. But the fact that we have a golden cross and when we – and what we’ve commented before is that money flows when a commodity or stock goes above its 50 day or below its 50 day, which is 10 week average price. It seems to have a trend is your friends thought process and money can do Lipper analysis, and do data analytics. You can see that – and the 200-day moving average is 10 months, which is a longer-term trend and it gives more confidence that something is in motion and as we show on this visual here, that gold actually gold actually started to turn in the beginning of January. We commented February, that we were getting a significant move. And with that, we show that our gold funds, and have great leadership. They’ve outperformed their benchmarks indices by a substantial margin. And we got recognized with 4-stars for one of the funds and then U.S. News and World Report. They also gave us strong ratings and the near-term also – it shows up with strong ratings in these services providers U.S. News and World. But most important is on Slide 54. There’s is an expression that investors look for risk-adjusted rate of return. What is that sharp ratio? And people are finding at more and more difficult to deal with volatile capital markets, especially the baby boomer. And there was a slide earlier that we – that Susan commented on a near-term, and I think it’s really significant on that visual that shows you the downdraft that’s taken place in the Capital Markets in the past 20 years that we’ve had substantial declines, declines of 50%. And I believe that shows up in Slide #39. On Slide #39, it’s a nice visual showing you the selloff with the tech bubble, and then we had a rally, and still invest in the stock market. You did not get back to break-even until December 17, you had another dramatic meltdown. And finally, it took 13 years before you got back to a decent level and where you surpassed near-term, which is earlier expressed and showed to you that had no drama. But it’s – how do you get that risk adjusted rate of return, that Slide visual 54 is highlighting, it’s better to be near Seattle than it is in Miami. Miami maybe the fund, but in the top left-hand quadrant, the further you’re up there means, your return has less risk. If you’re in the top right-hand side, you may have high return, but you would have high volatility and that’s what investors are shying away from. They just do not want to experience those meltdowns that we’ve experienced and like I showed you in Slide #39. So I’m happy to report that both the gold funds are in the top left-hand side, and that’s both a fundamental stock picking and the quantitative modeling that we use to look at these stocks, low resources, which was a real drag in our overall performance for several years, and actually went for about 3.5 years. And so it has now turned the corner and you can see it once again is back on the top left-hand side on a risk adjusted basis, and that’s what’s so key for investors. What’s driving gold? Several factors are driving gold. I’ve written about it extensively, the fear trade, the love trade. The love trade is the rising GDP per capita in China and in India, particular, Chindia, affectionately known 40% of the world’s population have a deep emotional passion to give gold for love, for graduation, for marriage, for income anniversary, and it was – the fact that last year the GDP per capita of China surpassed the U.S. and in a sea of 1.4 billion people, you had a 104 million people hit middle-class status which surpassed the U.S. of 92 million. It does get lost under the discrepancy between the very poor there and the wealthy is greater than here. But what’s interesting is that, it does lead itself to buying gold, love trade, however, it dominates our psyche here is inflation and the fear trade and negative real interest rates and this what we’re seeing that PPI numbers coming out, which is just a reflection that we see in places pick up from a year ago and this has had an impact on gold. On the next visual, we’ve written about this many times. It’s a simple inverse relationship that is the price of gold falls or the dollar – as the dollar falls, gold rises and vice versa. As the dollar rises, gold falls. But what drives the dollar to go up or down are predominately real interest rates are they negative or positive. What does that mean? Well, it means, what will the government pay you on a 10-year government bond minus that monthly CPI number. So when gold hit 1,900 September of 2013 you’ve had minus 3%, so why would you buy U.S. Treasury 10-year government bond when you’re locking, you are losing 3% a year. Since then rates went to positive 2% and the price of gold fell from basically 1,900 to a 1,100 – under 1,100. And now rates have gone negatively again with the global slowdown and see negative rates of Japan, negative rates of Europe. Gold is rising against all countries currencies. Next visual is like this all about management expectations from Warren Buffet and he’s so true, and we like to try to look at Slide #59 to help you manage expectations, which is basically saying over any rule in 12-month period, different asset classes have a different DNA of volatility. And that means basically 7% of the time is a non-event for GROW to go plus or minus 4%. And if it goes more, that’s more material and over ruling one-year period, it can rise 101%. That just normal DNA volatility. And same thing when you look at the New York Gold Index is plus or minus 3%. You can see the early gold price are lot less than GROW and GROW correlates very quickly with the price of gold action. And so often we hear the negative press on the gold is too risky versus the S&P or in fact, the volatility is basically the same. I think these are important things for investors to consider. What has a lot of volatility though is oil. Oil is pretty volatile as an asset class. The next visual is our most popular downloaded visual, and this is all about showing you management expectations. Whatever is in the basement, the following year can be in the attic. And it’s volatility of different commodities based on supply demand then move them around. And it’s important to have active managers that know how to dynamically have signals that move with these changes and understand the supply and demand factors and how sustainable they are. The next visual is the GDP versus PMI. And most economists follow GDP and that’s like staring out the rear view mirror to the past. We focus on the PMI. We’ve written extensively about it. It’s a purchasing manufacturer’s index. It is a future data point and it gets updated every month, and it’s helpful for where the global trend is and it’s highly correlated to commodity demand. If you get a big order and you’re a manufacturer of metal doors, therefore, for you to make metal doors, you need to import a lot of metal, and you have to use a lot of energy to manufacture those doors. And so therefore commodity demand picks up. This visual here is showing you that with the global PMI, we’ve written about last October, go to the website USfunds.com and you can learn more about it. The global slowed down, which is a negative sign. But China’s purchasing manufacturing index has probably picked up, which is a positive sign. So why do we have to be cognizant in all of China? It’s because this visual makes it really easy to comprehend. China consumes mind-boggling amounts of raw materials, even in a slowing economy. 60% of concrete, 54% of aluminum, 50% of nickel, 23% of all the gold. They’ve now become, when it comes to the world of gold, the price maker, not the taker. The Shanghai gold futures pricing mechanism is seeing the highest delivery of gold. And the Chinese government want to become a center stage, have their currency as a tradable fungible asset just like the U.S. dollar is, but to give special drawing rights, the only collateral people will take is gold. So the Chinese have been on a buying binge, as gold has gone from $1,900 down to just over $1,000 an ounce, every month they’ve been a dominant buyer of gold to play in that arena. Here is another visual that’s really helpful. You can go and get more detail. Please I highly recommend you go to the website and read it. What happens if the global PMI is positive? What is the probability happening, and the impact on the S&P materials versus energy, copper and and crude? And what happens when the one month is below the three months? What does that do? What does that signal reflect? And usually these markets are probability. The material stocks fall 67% of the time, 1%, S&P energy fall 78% of the time, almost 3%, and copper falls over 4%, 67% of the time and oil falls, 67% of the time 3%. So like this all about management expectations, there’s different ways to look at when it comes to commodities. There is the annual cycle. There is a supply and demand cycle. There are other factors, and we try to take a look at PMI as a leading indicator for you. And hopefully our thought leadership as we position ourselves to come out with unique ETFs. Some of them are in a crowded space. JETS has been a success, because there is no one else in that space. And our gold one will be, I do say in a crowded space, but I do think it’s a much more interesting product for many, many reasons, which we can talk about later. And we will come out with some other unique themes. We want to stay focused on our global investing. When we go to China, we go to India, we go to Czech Republic, what are the themes for this global investing. And we’ve talked many times that demographics is a key point, is understanding the demographics of China is inverse to India when it comes to. India has 600 million people under the age of 25, and China has 600 million people over the age of 65. So you have complete different demographics. And so stay tuned to this global growth and the president election cycle. Thank you. Questions and answers now.
Susan McGee: Yes Thank you, Frank. Now we will take some questions and again you can enter them in the questions area of a controlled panel. So we do have a couple of questions that have come in already. First of all, what is the company’s plans and profitability?
Lisa Callicotte: Well, now that we’re able to outsource certain functions. We’re able to concentrate on managing our funds and the marketing of the funds. And in order to get to break-even, we need to increase our current gold fund by approximately $100 million or all funds on a proportional basis approximately $200 million. And that can be a combination in net purchases or market appreciation. There was that large selloff of assets in January and that was able to rebound. And in February and March there was that increase and we were able to have positive growth during the quarter as well as a good amount of appreciation.
Frank Holmes: I think the other part just to add to is fund performance. We do have a fulcrum incentive fee and there’s a penalty when you or underperforming and we did experience that penalty from 2013 for Global Resources, Emerging Europe and I’m happy that that’s turned because that was a big drag that was costing us $100,000 a month and that’s turned positive. So that’s more as more the hedge fund model. I think that now we’ve got to turn in Global Resource et cetera. There’s been more interest for talking to the offshore fund, CEO that there’s more interest to put money into that particular fund is that more people develop their confidence that the gold cycle is turned. We’ll do webcast in June 8 on the sort of historical cycles of gold when it corrects, how long it corrects, and how much it falls, how much it rises and for people to better understand that we’re in beginning of our a bullish cycle. And I think that we need to get this $100 million rising in the gold assets or broker resource assets and Eastern Europe and China collectively or several hundred million dollars in near-term, because of the key structure, that’s very simple, 45 basis points versus a 100 basis points on average. So you just need more assets. The nice part about JETS is 60 basis points and it’s gone through the cash cost, there’s no cash burn for that. It doesn’t take much in the ETF space. So that’s a positive aspect, and what do we believe the future is. We have to get or in the next three years is basically get up to about $3 billion in ETFs and that’s the goal and how do we differentiate and attract with that smart beta mindset and that’s we’re probably along with at the same time always looking at acquisitions and opportunities. And we see that some there’s some all of land valuations for Global Advisors and things like that, so we’re not going to go and splurge money into that space, when you’re paying 50 times revenue. And I mean so we’re very prudent and we’re cognizant. So the growth model is to get these assets backup as quickly as possible, launch with the ETFs, and at the same time look at acquisitions.
Susan McGee: Thank you, Frank. One more question related to that what was asset does the company need to breakeven?
Lisa Callicotte: Really if we were just kind of to grow our regional fund gold fund, it would be probably about $100,000 – $100 million based on our current assets. And then if we were to grow assets kind of across all of our funds proportionally that would be about $200 million.
Susan McGee: Thank you. Well, that is all the questions that we have for today any other comments that our speakers would like to make today.
Frank Holmes: No, we just continue to do the marketing and communicating. I had a long day yesterday up at 4 o’clock in the morning to fly to Chicago and get back at 10 o’clock last night. Sadly to see the Spurs lose, it is a big issue down in San Antonio. We don’t have baseball, and we don’t have football. We have basketball. And so the eighth largest city in America has one sports franchise and we all live and breathe around it. It is sad to see the team have the skill, but not the will that spark of energy that you saw Oklahoma has and so that is I share with you and we’ll maintain that spark. And look for growth and opportunities. Thank you all.
Operator: Thank you. That does conclude The U.S. Global Investors’ webcast for the third quarter of 2016, and thank you all for your participation today.
Q -: